Operator: Good day, everyone, and welcome to today's Colgate-Palmolive Company's Second Quarter 2015 Earnings Conference. This call is being recorded and is being simulcast live at www.colgatepalmolive.com. Today's conference call will include forward-looking statements. These statements are made on the basis of our views and assumptions as of this time and are not guarantees of future performance. Actual events or results may differ materially from these statements. So for information about certain factors that could cause such differences, investors should consult our reports filed with the Securities and Exchange Commission and available on our website, including the information set forth under the captions Risk Factors and Cautionary Statements on Forward-looking Statements. This conference call will also include a discussion of non-GAAP financial measures, which differ from our results prepared in accordance with GAAP. We will discuss organic sales growth, which is net sales growth excluding foreign exchange, acquisitions and divestitures. We will also discuss gross profit, gross profit margin, SG&A, SG&A as a percent of net sales, operating profit, operating profit margin, net income, and earnings-per-share on a diluted basis excluding the impact of the items described in the press release. A full reconciliation with corresponding GAAP measures is included in the press release and is posted in the For Investors section of our website at www.colgatepalmolive.com. Just a reminder, there may be a slight delay before the question-and-answer session begin due to the web simulcast. Now for opening remarks, I'd like to turn the call over to the Senior Vice President of Investor Relations, Bina Thompson. Please go ahead, Bina.
Bina H. Thompson - Senior Vice President, Investor Relations: Thank you, Jessica. Good morning, everybody, and welcome to our second quarter 2015 earnings release conference call. With me this morning are Ian Cook, Chairman, President and CEO; Dennis Hickey, CFO; Victoria Dolan, Corporate Controller; and Elaine Paik, Treasurer. We're very pleased with the continued strong organic sales growth in our business across all divisions. In fact, the pace of such growth has accelerated nearly everywhere. Innovation continues to play an important role in our successful array of new products across categories has resulted in strong and growing market shares. As Ian said in the press release, our robust organic sales growth is particularly notable in the face of challenging macroeconomic conditions in many markets; however, foreign exchange continues to be an even more significant headwind, and that is continuing into the third quarter. And as you know, we're diligent in taking pricing to offset currency-related transaction costs and are pleased that even with the pricing we have taken, there is still a good balance with volumes. Our savings programs are delivering excellent results both our ongoing Funding the Growth initiatives as well as our Global Growth and Efficiency program. Cash generation is solid and our working capital is low, down year-over-year. So, we think we're making good progress in 2015 and have good plans in place to keep up the momentum. So, let's turn to the divisions; starting with North America; we're pleased with the solid organic sales growth in North America this quarter and acceleration from the first quarter 2015 growth, driven by a solid volume increase of 3%. And as mentioned in the press release, U.S. market shares are strong across many categories. Innovation continues to play a critical role; although, we also see strengths in the base business. For instance, Colgate Total toothpaste continues to maintain a market share of around 10%. In the first quarter, we launched Colgate Total mouthwash for gum health, which allowed us to drive the regimen concept in-store with a claim of 45% stronger, healthier gums versus non-antibacterial mouthwash. The mouthwash is off to a great start. It's the number one new item at a major U.S. retailer. In toothbrushes, our newest addition to the Colgate 360° line is Colgate 360° Optic White Platinum. This has been incremental in the line. Colgate 360° has come from a 13% share for full-year 2011 to a 19.3% share of the total category year-to-date. And as we said in the press release, our leadership manual toothbrush here is now well over 40% at 41.4%. We're particularly pleased with the performance of our Tom's of Maine business. Sales are growing healthy double-digits with the strongest growth in our top 10 retailers. With the expansion of our shopper marketing initiative, we achieved our first-ever end aisle displays in many customers during our well executed April Earth Month integrated marketing campaign. Our new Tom's baby line is off to a very encouraging start with wide acceptance across retail channels. The line is receiving positive online consumer reviews and the body lotion and hair body wash products are within the top SKUs ranking in selling ahead of many other big and established baby brands. The fastest-growing segment within fabric conditioners is scent boosters. We launched Suavitel Fragrance Pearls in-wash scent boosters in March of this year with the claim of five times longer-lasting fragrance versus detergent alone. Distribution continues to build within major accounts, and our year-to-date share in the overall category is at 18.7%, up 70 basis points, with our second quarter share at a record 19.5%. Looking ahead in the third quarter, we'll be launching Colgate Total Daily Repair toothpaste, which helps reverse early damage for better oral health and goes beyond promoting traditional benefits to a new consumer relevant space, with the best testing Colgate Total concept ever. And as you can imagine, we'll be backed by a full support plan including TV, PR and social media, professional and multicultural outreach and of course in-store shopper activity. As you know, in the second half of 2014, we launched Colgate Enamel Health toothpaste. In the first quarter, this year, we added Colgate Enamel Health Multi-Protection toothpaste to the Enamel footprint. And now in the third quarter, we're adding Colgate Enamel Health mouthwash to provide a complete regimen solution. This new mouthwash helps replenish natural calciums, reverses enamel softening and helps prevent cavities, all with a great-tasting flavor. And finally, in the Kids' segment, we're launching the first-ever regimen portfolio with Minions branding across the toothpaste, toothbrush and mouthwash categories. Turning then to Europe/South Pacific; we're pleased with the acceleration in organic sales growth in this region from the first quarter. Continued innovation has contributed to the results. Consequently, our regional year-to-date market shares are up in toothpaste, manual toothbrushes, mouth rinse, body wash, liquid hand soap, underarm protection and fabric conditioner. The regional launch of our premium priced Colgate Max White One Optic toothpaste has been incremental to our share in the whitening category and has helped to increase overall toothpaste share in France, Italy and Spain. In addition, in France, a strong integrated marketing campaign has helped grow our elmex SENSITIVE toothpaste business in the mass channel. Growth in our manual toothbrush business has been driven by innovation and excellent in-store execution. The favorable gap between us and our nearest competitor has widened over the last five years from just 70 basis points to almost 7 full points on a year-to-date basis. Across Europe, our manual toothbrush share is up 150 basis points to 24.6% year-to-date. And in Australia, our share is up 170 basis points to 63.3% year-to-date, with the most recent read at 63.8%. And we told you last quarter about an exciting new innovation in Personal Care, Sanex Advanced. This is off to a very good start. The line of body washes and underarm deodorant has been incremental to the business and, in the last month, our body wash share has met or exceeded our goal in France, Spain and Belgium. Innovation continues in the second half of 2015. In the toothpaste category, we're just now launching Colgate Sensitive Pro-Relief Repair and Prevent toothpaste. This premium-priced offering repairs sensitive areas of the teeth and prevents further sensitivity for instant and lasting relief. An extensive shopper marketing program will support a complete re-launch of our Colgate 360° manual toothbrushes, which provide superior cleaning for a whole mouth clean versus an ordinary flat trimmed toothbrush. This premium-priced line, which includes Colgate 360° Expert White and Colgate 360° for men should help continue the excellent momentum we've seen in this category. And in our body wash business, we'll be launching Palmolive Gourmet body washes, a line of creamy body butter washes with fragrant ingredients, including vanilla, chocolate and peach, which have already been very successful in the Africa/Eurasia division. Moving on to Latin America. We're pleased with a continued strong organic sales growth in this region. Two of our largest subsidiaries in the region, Mexico and Brazil, delivered solid performance and, of particular note with Brazil, where organic sales growth accelerated nicely from the first quarter. Market shares for Latin America increased year-to-date in toothpaste, shampoo, liquid cleaners, dish washing liquid and fabric conditioners. Our regional toothpaste share is at 75.7% year-to-date, up 70 basis points, and the highest level in four years despite competitive entries during that time period. In Brazil, our year-to-date share is up 40 basis points to almost 72%, while in Mexico our year-to-date share increased 70 basis points to 81%. Our Home Care business in Mexico is extremely strong; dish liquid shares are at 52.2% year-to-date, up almost 3 points; liquid cleaner shares are at 33.5% year-to-date, up 80 basis points; and fabric conditioner shares are at 48.6% year-to-date, up almost 2 points. In the dish category, the launch of Axion Complete exceeded expectations. And our very successful Thank You Mom campaign behind Suavitel, our leading fabric conditioner, helped to further strengthen that brand equity. Our innovation pace will continue in the second half. Colgate Luminous White Advanced toothpaste will be rolled out throughout the region. This is Colgate's most advanced whitening toothpaste available in Latin America. It intensifies the white of your teeth three shades whiter with a unique formula that uses the same ingredient dentists use. Accompanying the toothpaste will be re-launches of Colgate Luminous White mouthwash and toothbrush. In the Personal Care category, we will be expanding the distribution of Protex Complete 12, a range of bar soap, liquid hand soap and body wash that provides long-lasting antibacterial protection and offers 12 times more protection than non-antibacterial bar soap. And in Home Care, we'll be introducing a rinse-free formula to our base Suavitel fabric conditioner business currently available only in premium offerings, which should further enhance our strong number-one position. Moving to Asia. We're pleased with the acceleration of organic sales growth in Asia from the first quarter. In particular, our business in China is performing well and back to solid growth. As we said in the press release, we maintain our strong leadership in toothpaste across the region. In India, our year-to-date share is stable at 54.8%, with the most recent read at 55.1%. And in China, we hold the number-one position at almost 34% year-to-date. Our toothbrush business in the Philippines is strong and growing in the Premium and Super Premium segments. Our year-to-date share is at a record 57.4%, up 70 basis points, with the most recent read at 58.3%. Our Colgate 360° Charcoal Gold toothbrush first launched in China has been successful in this market as well. Our regional share in mouthwash is at a record 23.5% year-to-date, up 60 basis points, with particularly strong performance in the Philippines and Hong Kong. And as elsewhere, more new products are planned for the balance of the year. In China, we will be re-launching our base Colgate Anticavity toothpaste in both the whitening and all-around anti-cavity segment. Elsewhere in the region, we're excited about our Colgate Total Charcoal Deep Clean toothpaste gel, which has a unique antibacterial formula that reduces bacteria on 100% of your mouth surfaces and provides 12-hour protection for a healthier mouth. In toothbrushes, we're introducing a line extension of our Colgate Natural Essences toothbrush, which has lotus-infused bristles. In addition, across the region, we're launching Colgate Kids Spiderman and Barbie toothbrushes with 0.01 millimeter slim tip bristles. Africa/Eurasia. As elsewhere, significant currency headwinds affected our financial results in this division. The good organic sales growth of 4% was price-driven as we took pricing actions to help offset transaction costs. However, with negative 21.5% foreign exchange across the division, we couldn't recoup all the losses. So, it's encouraging that our local businesses are doing well and our market shares are generally solid. Our regional toothpaste share is up 100 basis points to 32.9% year-to-date, with our most recent read at 33%. Notably, our share in Russia increased 2 full points to 33.6% year-to-date, with the most recent read at a record-high 34.1%. Both Colgate Total and Colgate Maximum Cavity Protection plus Sugar Acid Neutralizer toothpastes have performed very well. Colgate Maximum Cavity Protection was launched in early 2015 and it's already reached almost 1 full share point nationally and has garnered 1.2 share points in the modern trade. In Turkey, our share increased 120 basis points to 26.6% year-to-date. And in South Africa, our share was up 60 basis points to 50.3% year-to-date. Our toothbrush share is up in the 15 countries to 16 countries, which represent over 99% of our toothbrush business in the division. In Russia, incremental listings in the country's largest retailer have contributed to year-to-date share increase of 240 basis points to 47.2% with the most recent read at 47.7%. And in Turkey, our very successful Colgate Slim Soft toothbrush has helped grow our share by 150 basis points to 28.3% year-to-date. Our regional bar soap share is up 290 basis points to 22.6% year-to-date, driven by gains in our two top markets; South Africa and Russia. More innovation is planned for the second half of the year. We will be refreshing both our base business Sensitive toothpaste as well as launching our Premium Colgate Optic White toothpaste with new and more impactful graphics. In South Africa, where we have a strong Protex business, we will introduce Protex Complete 12 ourselves, which provide 12 times more germ protection and offers long-lasting anti-germ action. And finally, Hill's; we're pleased with Hill's strong organic sales performance in the quarter. The business is on track and innovation is driving both the domestic and international business. Our unique weight-loss product, Prescription Diet Metabolic Canine and Feline food is gaining share globally. We recently introduced a stew product along with the dry, and that has accelerated growth in the wet segment. The product comes in a new global packaging design and has been supported with a global testimonial campaign as well as print and online media. Adding to this successful innovation in April of this year was Prescription Diet Metabolic Plus Mobility Canine food and Metabolic Plus Urinary Feline food. These new foods, which are nutritionally formulated for concurrent health conditions, have been the primary focus of our 2015 pet conferences. Another global success in the Prescription Diet line has been upgrade of our k/d formula for kidney care diet in cats. Cats with renal conditions typically suffer a loss of appetite, so it's difficult to get them to eat the food, which will help them improve their conditions. This product contains our new EAT Technology Enhanced Appetite Trigger, which improves appetite while helping to both preserve lean muscle mass and increase energy. The feedback from vets has been excellent, and we've received excellent testimonials from clients and the veterinary healthcare teams. As you expect, we have more innovation planned for the balance of the year. To keep the momentum in our Prescription Diet business, in the third quarter in the U.S., we're beginning to roll out a Prescription Diet i/d sensitive, the first product in the GI segment for food sensitivity, free of wheat, gluten, lactose, and soy proteins. A trial program and pet parent guide helps veterinarians and pet parents to see the difference this food makes. These are part of the complete IMC bundle, with trade ads, printed and e-detailers, as well as in clinic seminars. A new products in our Science Diet line is Urinary Hairball Control Feline food, the only wellness food that addresses the two most common conditions in healthy cats. The launch this month in the U.S. is supported to the PetSmart store associate feeding program as well as from Petco's whole pet specialists. So in summary, we are pleased with the way 2015 is progressing, particularly in light of the macroeconomic challenges that we and other space around the world. We're committed to investing in the business in order to drive solid organic sales growth and global market shares. We will continue to focus on brand building innovation as well as our worldwide productivity programs. Colgate people around the world are implementing our effective strategies, which we expect will allow us to continue to deliver solid results, and we look forward to sharing these results as we go through the balance of the year. And now, Jessica, that's the end of my prepared remarks. I'd like to turn it over to questions.
Operator: Thank you. Today's question-and-answer session will be conducted electronically for the telephone audience. We ask as well that you limit yourself to one question in return that to the queue to allow everyone the opportunity to ask their questions. We'll now go to Jason English with Goldman Sachs. Sir, your line is open.
Jason M. English - Goldman Sachs & Co.: Hey. Good morning, folks. Thanks for the question.
Ian M. Cook - Chairman, President & Chief Executive Officer: Good morning, Jason.
Jason M. English - Goldman Sachs & Co.: Bina, you kind of closed at your prepared remarks talking about continue to focus on driving solid sales growth in market shares and certainly as you ran through the market shares performance, it's indeed impressive. But looking through the belly of the P&L and particularly gross profit, the leakage of cost inflation, which I know includes FX, and I suspect it's predominantly FX-related remains sizable. How do you wrestle with the balance of getting more price to cover some of that, even if it comes at the expense of some near-term market share versus continue to drive the market share? And do you think you're at the right balance right now? Or should you be leaning a little more towards price?
Ian M. Cook - Chairman, President & Chief Executive Officer: Well, thanks for the question, Jason. We didn't rehearse this, but it's a perfect lead-in to some remarks I was wanting to make to put the gross profit in context, tell you to exactly your question, how we are thinking about that balance over the rest of the year and then probably I'll just go through the gross margin roll forward to save time, somebody else asking the question. I think to begin with, it goes without saying that 2015 is a volatile year, and characterized as we all know by economic challenges in many parts of the world, and I think very specifically as Bina mentioned, a continued strengthening of the U.S. dollar, which accelerated across the second quarter; and in fact has continued to strengthen with the current rates, we're seeing into the third quarter. And so, as you put it, we are very well pleased with the continued strong; in fact, accelerating organic growth in our business and we see that overall having a healthy balance between volume and pricing, which is a balance one tries to maintain. Indeed, as we look across each of our four business categories, we see a healthy balance between volume and price. And I would say at this stage that we are still expecting top line organic growth for the full-year to be in the 4% to 7% range. Now, when you step back from that and say what is making that work, we think it's three things; our innovation is clearly working, and it is broad and it is lined up well for the future. We believe, as we have said before that our commercial programs, which is a combination of traditional advertising and trade spending are effective and that together the strength of our innovation and the effectiveness of those commercial programs are seeing market shares growing quite broadly. So, in sum, our strategy is delivering strong brand led growth and double-digit EPS increases on a currency neutral basis. Now, as you rightly say, our gross margin in the quarter was pressured more than expected, despite the fact that we realized good pricing, that as you will see when I go through the gross margin roll forward we had good continued delivery of strong Funding the Growth and restructuring savings. Indeed, we offset year-to-date to the dollar impact of the cost increases so far this year. But in the second quarter specifically, we face three unanticipated negative impacts on our material costs. Obviously, we expected a meaningful impact from foreign exchange transaction costs, but we did incur the incremental costs of the faster than forecast foreign exchange deterioration. We saw in several high inflation emerging markets, including Venezuela, an increase in local material costs in the quarter. And finally, while not a significant factor in the overall gross margin decline, we did see additional material cost increases in Venezuela due to a slowdown in dollars received at the official rate. Now, what to do over the balance of the year? As you would expect, our planned response is additional pricing; and as I said on the last call, as we think about pricing we try and maintain this balance between volume and price. In some situations, Africa, Eurasia, as Bina mentioned, where the exchange impact is so significant, we take extremely aggressive action and, indeed, concede volume to get price and stabilize the business. In other parts of the world, we seek to maintain a balance, but regardless of approach, additional pricing is planned for the balance of the year. Clearly, we will redouble our focus on Funding the Growth, and we intend to take full advantage of generally weakening commodity materials pricing, which on the last call we said would really begin to benefit towards the end of the second quarter. So, those are our three responses. We believe we have planned them in a way that will allow us the maintenance of the top line growth in that 4% to 7% range. And now, our thinking for the year, we'll see a sequential improvement in gross margin across the balance of the year; and for the full-year, an increase of 10 basis points to 30 basis points. So, let me go from that to the gross profit roll forward. So, if we take the second quarter, we start with the prior year at 58.8%, we pick up a one point benefit from pricing, we pick up 2.2 points of favorable from Funding the Growth and the modest contribution from restructuring. We take a negative impact of 3.5 points of material prices, which traced back to the unexpected impacts I just referenced, 20 basis points of other, which gets you to the 58.3% in the quarter, the 50 basis points decline. So, that's how we're thinking about it. And as you rightly say, one is trying always to find a good balance between the top line growth and the recovery of the ratio in gross margin. And we think we have that in the plan for the balance of the year. Thanks for the question.
Operator: We'll now go to Steve Powers with UBS.
Stephen R. Powers - UBS Securities LLC: Great. Thank you. A question on Venezuela, actually, Ian, following up on some of things you just mentioned. Clearly it's a topic that comes up every time you visit with us in one form or another. You obviously continue to account for CP Venezuela at the SICAD rate. Many others have either shifted to SIMADI or else chosen to deconsolidate, as we saw from P&G this morning. So I know there are legal and accounting guidelines that dictate the appropriate treatment of Venezuela, but I'm wondering how much discretion there is on those matters because, at some level, it feels like kind of taking the hit, so to speak, and moving on would provide some benefit, especially if your access to dollars is decelerating, as you mentioned in response to Jason's question.
Ian M. Cook - Chairman, President & Chief Executive Officer: Yeah, I wasn't necessarily expecting it as the second question, but I think we were expecting a remark or two on Venezuela. I think the first thing I would say in terms of the breadth of information that we provide on Venezuela, we have I think over time been providing increasing disclosure in our Qs and Ks. And I think you will find that continues to be the case when you read the Q on this quarter. As may know or you will now know, for the first six months of this year, Venezuela represented about 4% of our revenue and 2% of base business operating profit for the six months ended in June. And we do provide in the Q the detail of the net monetary assets that we hold of just over $600 million and the non-monetary assets that we hold of just under $300 million that could be subject to impairment. We also provide information as to the effect on that if we had to go to the SIMADI rate, which would see us with a charge of about $340 million after-tax or $0.37 per diluted share. And that would also likely lead to an impairment of our non-monetary assets. And we also provide, as we have done for some time, Colgate's total investment in Venezuela, which is about $1 billion. Now, the reason we continue to manage Venezuela the way we do, first of all, we have for 2014 and into 2015 been receiving dollars and are able to operate our business even though, as you say, that has become a little bit more volatile in the second quarter. Second, each company has its own facts and circumstances. And we still understand that our dividends would be remitted at the SICAD rate and, therefore, that's why we translate the business at that. And of course, we moved to the SICAD away from the official rate, so it is a little bit more conservative. But as you rightly indicate, Venezuela is a period-to-period assessment. You will see in our Q that our conclusion at the end of the second quarter is that we will maintain the translation rate we have and that we will continue to consolidate that business and we will specific to our facts and circumstances, as we always do, to continue to revisit that quarter-upon-quarter.
Operator: And we'll now take a question from Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank Securities, Inc.: Hi, Bina and Ian. Good morning.
Ian M. Cook - Chairman, President & Chief Executive Officer: How easily they forget.
William Schmitz - Deutsche Bank Securities, Inc.: Can you just talk about structurally how you view advertising? Because it seems like your market shares aren't impacted at all by the pullback, and maybe it's like a share of voice issue because maybe the guys are pulling back as well. But maybe structurally could that advertising ratio be lower going forward because it's not having much of an impact on your market share trends?
Ian M. Cook - Chairman, President & Chief Executive Officer: Yeah, I'll resist repeating the last man standing comment, Bill. But in terms of advertising, as I have said before, we build our programs from the ground up, and we're very much focused on what it takes to maintain awareness of our base business, build awareness of new innovations and build trial and go on and repeat, given the quality of our products for the new products that we bring to the marketplace. As you rightly say or suggest, and we have seen and we talked about it on the last call, we have seen many competitors in several significant markets around the world substantially pull back on traditional advertising and, therefore, we can accomplish our strategic objectives and not lose competitive presence on the ground. And as we've tried to express before, a lot of what you can do at the retail level today is far more sophisticated and strategic than maybe 10 years ago. And we make no apology for choosing to construct our marketing programs with good reliance on both. We talk about integrated marketing communications and we talk about reaching consumers at all touch points, which of course does, yes, include traditional television and digital, but also includes the retail, dental professional, veterinary professional environments that shape their purchasing decisions. I would not project seeing our advertising levels decline meaningfully. In fact, as we think about this year, we expect to be up on a local currency basis and probably at about the same level as last year on a ratio basis. But we'll obviously again as we go forward look at what it takes to build the engagement without consumers to keep growing market share and therefore our brands and therefore the top line of the company.
William Schmitz - Deutsche Bank Securities, Inc.: Great. Thanks. And then, can I just ask you, are you shipping to consumption now in most of the markets? So, is it stocking largely done?
Ian M. Cook - Chairman, President & Chief Executive Officer: Thank you for the one question. The...
William Schmitz - Deutsche Bank Securities, Inc.: It's a short one.
Ian M. Cook - Chairman, President & Chief Executive Officer: In China, as we said on the last call, in fact, the consumption was mid-single-digits. We suggested, I think, that the second quarter was off to a good start in China and that we expected to be back to consumption. You, I think, can see that in the Asia numbers. China is back to consumption, and as Bina mentioned, we saw a bounce back in Brazil, and when we look at our categories in Latin America, including Brazil, the growth rates of the categories is around that mid-single-digits level; so we would say, you know, that's the expected environment going forward. In fact, to comment for the emerging markets, mid-single-digits for the U.S., about 2% on average or the spread is 1% to 3% depending on the categories; and Europe at the same, 0% to 2% range bound level it's been in for some time.
William Schmitz - Deutsche Bank Securities, Inc.: Thank you.
Operator: We'll now take a question from Chris Ferrara with Wells Fargo.
Christopher Ferrara - Wells Fargo Securities LLC: Thank you. Good morning.
Ian M. Cook - Chairman, President & Chief Executive Officer: Hey, Chris.
Christopher Ferrara - Wells Fargo Securities LLC: Ian, I guess that's a perfect transition to Brazil. The last time we were talking about Brazil intra-quarter and in last quarter's call, you weren't particularly optimistic about it. The recovery there, though, your volumes, your organic was up nicely. I guess can you talk about what's changed? Has it been the category growth rates or is it – it doesn't look like it was an acceleration of share based on what you said, but I'd just love any commentary you can offer up there?
Ian M. Cook - Chairman, President & Chief Executive Officer: Our share is up. I mean, Bina talked about the year-to-date. The latest period is over 72%, as I said last time, who's looking? I think, fundamentally, Chris, it has to do with the category. I think we were prudent the last time we spoke, because the country was in a state of short-term dislocations; and in fact I had just come back from Brazil and so felt it up close and personal, and we thought it was better to take a more prudent stance for the balance of the year, until we saw the category growth rates come through. I would say that has now stabilized. We expected to provide an update at the end of the second quarter, and we're able to do so, and I think we can say that the underlying consumer consumption now in our categories in Brazil is back to that broad mid-single-digits growth rates. So, it traces specifically to the category growth.
Christopher Ferrara - Wells Fargo Securities LLC: Thank you.
Operator: And we'll now go to Bill Chappell with SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Thanks. Good morning.
Ian M. Cook - Chairman, President & Chief Executive Officer: Hey, Bill.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Hey. Just going back to Latin America, just wanted to – and maybe I can't do the algebra; but on unit growth, it looks like it was flat excluding, I guess, the acquisitions year-over-year, and it said it was partially hurt by Venezuela. I mean, would it have been up meaningfully without Venezuela? And do you expect unit growth to kind of start to bounce back as we move through the year?
Ian M. Cook - Chairman, President & Chief Executive Officer: Well, again, I think we were very pleased with the organic growth, to save Ali the trouble when he comes on, we don't break out Venezuela; but our volume growth in Latin America, we see as coming back, but we were quite happy with the trade-off we made to price relative to volume in this quarter to an earlier question. The volume ex-Venezuela was indeed more positive than you see for the division, but by a multiple. Did we lose everybody?
Operator: No, your line is still open.
Ian M. Cook - Chairman, President & Chief Executive Officer: Do we have no more questions?
Operator: I guess, Mr. Chappell, your line is still open.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Oh, I'm sorry. I thought that was – yeah. So, it was just to clarify, you do expect unit growth. It's just a matter – and Venezuela did kind of wipe away all of the unit growth this quarter?
Ian M. Cook - Chairman, President & Chief Executive Officer: Venezuela depressed the division's unit growth, yes.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Okay. And but even with incremental price increases, unit growth should bounce back going forward?
Ian M. Cook - Chairman, President & Chief Executive Officer: Yes.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Perfect. Thank you.
Operator: We'll now go to Caroline Levy with CLSA.
Caroline S. Levy - CLSA Americas LLC: Thank you so much. Good morning. I'm just wondering...
Ian M. Cook - Chairman, President & Chief Executive Officer: Hey, Caroline.
Caroline S. Levy - CLSA Americas LLC: Could you dig in a little bit on Russia, where P&G had really, really awful June results, I believe, I think down 57%, just very difficult times? And also comment generally on whether some of your foreign competitors are behaving differently, given they don't have the dollar currency issues you have?
Ian M. Cook - Chairman, President & Chief Executive Officer: Well, I really don't want to start getting into detail by countries; but suffice it to say, we did not have the declines in Russia that some others are quoting. Our market shares in Russia are strong and growing. And we, of course, have taken some fairly significant pricing across that division, but very specifically to Russia, given the foreign exchange impact, actually, our toothbrush here in Russia was up two points. So, is back to the opening remarks, really, and that is, yes, we are taking pricing as we need to. We're focusing on Funding the Growth, we're focusing on the Global Growth and Efficiency program, but we're also focusing on building our brands and building our market shares. And I would say the progress in Russia fits that model.
Caroline S. Levy - CLSA Americas LLC: And just on foreign competitors, are you seeing them, you know, enter any markets anew or do anything differently, the ones you don't have a dollar exposure?
Ian M. Cook - Chairman, President & Chief Executive Officer: I think most everybody is hurt a little bit by the Russian circumstance. We certainly don't see any irrational behavior the other way, no.
Caroline S. Levy - CLSA Americas LLC: Sorry. I didn't mean specific to Russia. I mean, in general.
Ian M. Cook - Chairman, President & Chief Executive Officer: Oh. You know, again, you see pockets of increased activity. You see pockets of decreased activity. I would characterize the global landscape as business as usual.
Caroline S. Levy - CLSA Americas LLC: Thank you.
Operator: And our next question will come from Ali Dibadj from Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys.
Ian M. Cook - Chairman, President & Chief Executive Officer: Ali, Ali, Ali, don't shout at me.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Why? Do I shout?
Ian M. Cook - Chairman, President & Chief Executive Officer: No, no, no.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: You're listening to our previous call?
Ian M. Cook - Chairman, President & Chief Executive Officer: I was reading the transcript. Yeah.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: I just state the truth. That's all I try to do. So, on advertising spend, you know, it's the fifth quarter in a row where we've seen it down. What we see, at least, understand the gross to net, but what we see in particular is down in Latin America and Africa/Eurasia, and I can't pretend to say that if you decline, you know, reduce advertising spend in those regions you'll get an immediate response, but you did see flat volume in Latin America understanding on the price/mix that you got or the price parts you got. Africa/Eurasia was down 3%, which is some of the worst we've seen. And I get the share of voice comments. Our share voice isn't lower. It's actually higher and that's why we're gaining share. As your senior brethren are feeling quite some pain as well. But what's happened to the category? So, what's the category responsibility? I mean, maybe share voices isn't the right metric, because the category itself should be, could be growing a little bit faster going forward. So, I wanted to get your thoughts on that a little bit. And I know it's only one question, but as a clarification on the gross margin that you described earlier on, if you would, please? So, the gross margin guidance is down to like 80 basis points at the high end, but you're still to kind of negative low single-digit EPS growth number? I'm trying to get a better understanding what the offsets are just staying in that low single-digits or is it just kind of worst low single-digits, when you describe it for the year? Thanks very much.
Ian M. Cook - Chairman, President & Chief Executive Officer: Well, the first question is a very broad question. To be clear, I'm not saying that our share of voice is necessarily higher by market. I'm saying that if you use that as the measure of consumer engagement, which is a questionable hypothesis, even though, it gives you a number, we have remained competitive. And back to the comment we made earlier, you know, our objective is to make sure we have brand awareness of our base business and build trials for new businesses. And we believe the spend levels we have do that. If you look at the category rates of growth, I would argue that growing categories is a lot more complicated than simply media pressure. Obviously, in our advertising we do the educational work, but sometimes perhaps we don't talk about it enough or people don't focus on it enough, but how you go to market, the depth of distribution you build, the sizing pricing you have in your portfolio, indeed, the price points you have in your portfolio amplified by price both at the low-end and the high-end creates access points for people to come into and stay in a category. And we put an awful lot of pressure and effort to making sure we construct our portfolio the right way in order to keep the category penetration up and keep the growth rates of the categories at healthy levels. And all of that you see in the portfolio choices we make, the sizing pricing choices we make, the distribution gains we get, right down to the furthest rural areas, and that is very much a driver on sustaining a category growth. Now, it's a very big discussion, Ali, and I'm not trying to trivialize it. I'm just trying to suggest there are more factors that come to bear than just advertising. And then to come to your second point. And some of you have already started to indicate this, so let me try and respond to the question and be clear. As we said in our release, at current spot rates, we continue to expect a low-single digit earnings per share decline on a dollar basis, excluding, of course, the restructuring and the other charges we highlighted in the release. Now to be clear, low-single digit earnings decline range, dollar earnings decline range, is minus 1% to minus 3%. And in as much as we have seen continued significant deterioration in foreign exchange rates over the course of the second quarter and since we last spoke, we would expect to be at the more negative end of that range, which would still reflect a double-digit increase on a currency neutral basis.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Thanks for being clear.
Operator: Thank you. We'll now take John Faucher with JPMorgan.
John A. Faucher - JPMorgan Securities LLC: Thanks. Good morning, everyone. Ian, if you look at the gross margin reconciliation that you did, obviously a huge hit on the raw material standpoint. You talked about raw materials sort of beginning to trend more favorably in June, I think you said in your commentary. So, as we look at the transactional piece of that versus the general, let's say, dollar-based raw material inflation, how should we see those things changing as we look out over the next six months to 12 months and that starts to flow in? So, I guess can you give us some direction in terms of how much of that transactional piece you'll be able to offset just with the more favorable moves in the underlying raw material rates? Thanks.
Ian M. Cook - Chairman, President & Chief Executive Officer: Well, I think depending on your view on foreign exchange, we've just given you our view on foreign exchange, that unfortunately is likely to continue. So the benefit will come in the material costs, the commodity costs, over the balance of the year and the increased pricing that we will be taking. So if I give a general view, that's really the way it breaks down.
John A. Faucher - JPMorgan Securities LLC: Got it. So, I guess I was looking for a little bit more of a directional view in terms of excluding the FX, excluding the productivity, just how big can the swing in the raw material benefit be, even if it's just directional over the next several quarters?
Ian M. Cook - Chairman, President & Chief Executive Officer: Yeah, that was the detail I didn't want to and still don't want to give.
John A. Faucher - JPMorgan Securities LLC: Okay. Thank you.
Operator: We'll now go to Olivia Tong with Bank of America.
Olivia Tong - Bank of America Merrill Lynch: Thanks. First just following up on John's question. The gross margin outlook, while down from prior expectations implies a very big acceleration in the second half. And you mentioned plans for more pricing, so that's part of it. But can you talk through some of the other key drivers like Funding the Growth and some of the cost savings programs that will help drive that meaningful improvement in the back half margins?
Ian M. Cook - Chairman, President & Chief Executive Officer: Yeah, Olivia, clearly it really is a combination of the factors that I raised before, which is more pricing, more Funding the Growth, more favorable underlying commodity pricing and maybe a little bit of Global Growth and Efficiency as well. And then you've maybe got the mix aspect of our business that could provide a factor as well. But the real drivers will be pricing, will be Funding the Growth, underlying commodity costs and maybe a touch from Global Growth and Efficiency, as we have seen before.
Olivia Tong - Bank of America Merrill Lynch: Thanks. And then on North America, why does there seem to be more volatility on pricing in North American than all your other regions? Because results last quarter and then it reversed to be down this quarter. So, what's driving that difference?
Ian M. Cook - Chairman, President & Chief Executive Officer: Yeah, the biggest single difference, Olivia, is couponing. Couponing is a very effective draw mechanism in the U.S., used more in the U.S. than any other geography around the world, and of course, goes into trade spending. Bina mentioned some of the new products that we have been introducing, and we have obviously been trying to build trial of those new products and, therefore, you invest in couponing and you see it in the volume growth of the business. So you're always going to see North America is a little bit more lumpy quarter-on-quarter because of that difference in the go-to-market.
Olivia Tong - Bank of America Merrill Lynch: Thank you.
Operator: We'll now take our next question from Mark Astrachan with Stifel.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning, everybody.
Ian M. Cook - Chairman, President & Chief Executive Officer: Hey, Mark.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc.: I wanted to ask, as you go around the world, which geographies are you seeing the most impact from local or regional competition? And how do you think about changes in go-to-market strategy to compensate, if any? And thoughts or current updates on a different way of actually going to market? How are you embracing internet, where applicable, and so forth?
Ian M. Cook - Chairman, President & Chief Executive Officer: Yeah, I would say local competitors are a factor around the world. I guess they've been often discussed by several folk in China. Certainly, we see them in Latin America. And your best way of responding and the way we try to respond is to understand the consumer and make sure that the innovation we're providing is competitive against the benefit or the product offering the local competitor is providing. And then secondly when you mention go-to-market, it is often the case with the local competitor that they have a particular infrastructure that can build downtrade distribution and a lot of activity, again, at retail level, and you just need to be effective in making sure that your products are available at an equal weight to that competitor and that you have the same degree of activity at retail level to compete with them. Now, China is an interesting example where our market share over the last several years has gone up from 29% to 34%. One of our principal competitors has come down from 25% to under 14%. And another has come down from 12% to high-single digit and the local competitor has really taken the difference. So without making one example a predictor for the world, I think it demonstrates we have managed to defend and continue to grow our business quite well. But, it comes down to product offering, and the strength of your go-to-market, particularly down trade and particularly activity at retail.
Operator: We'll now go to Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research LLC: Good morning, everyone, Ian, Bina.
Ian M. Cook - Chairman, President & Chief Executive Officer: Hey, Javier.
Javier Escalante - Consumer Edge Research LLC: A quick question with regards to Hill's. Very good number, the 7%. It seems like the growth at least in your 10-Q, you say that the Prescription Diet category, more like the veterinary side of the business, it was the most meaningful contribution. I had expected because last year we had this problem at the PetSmart specialty stores kind of outlets that it would be the other way around. So, if you can explain the dynamics of the pet food market with the entry of this Blue Buffalo as a publicly traded company, are they promoting more how – what is happening in the specialty stores? And how sustainable this growth is in the veterinarian channel? Thank you.
Ian M. Cook - Chairman, President & Chief Executive Officer: I guess, the simple answer is they both grew. And the reason for the growth was driven by innovation, both on the Prescription Diet line and the Science Diet line. The appearance of Blue Buffalo in the pet super stores is not a new thing. They have been there for a long while. And our presence in those stores, our activities in those stores has not been affected. So, we saw very good growth, and as we have tried to say several times on calls, one of the big differences we were striving for was a stream of innovation on Hill's, so that it was not episodic, but that we had a flow of innovation both on the Science Diet business and the Prescription Diet business, and we think we have that. I mean, who couldn't love innovation that has Enhanced Appetite Trigger built into it? I bet the Petco for that. So, it's driven by innovation. Now where Blue Buffalo will be new is in the more therapeutic side of the business. They have announced two entries in only two segments. One is gastrointestinal. You'll remember from Bina's remarks that we are going to market with a very compelling gastrointestinal product right now with the Prescription Diet line, so I come back to the innovation. We think it's strong, and we think it will see us well with our very elevated share with the vets, which as you rightly say, continue to grow in the second quarter. So, we think we're well-positioned with both, Javier.
Operator: We'll now take a question from Lauren Lieberman with Barclays.
Lauren Rae Lieberman - Barclays Capital, Inc.: Great. Thank you.
Ian M. Cook - Chairman, President & Chief Executive Officer: Hey, Lauren.
Lauren Rae Lieberman - Barclays Capital, Inc.: Hello. I was just, a couple of things. One is on – I know it's very clear mathematically that the SG&A have to be sort of the plug with the lower gross margin outlook, but I was wondering if that is really sourced from the restructuring savings, if it's an acceleration, what you're tapping into to kind of be able to offset some of the gross margin impact. And then the second thing was, is it reasonable to assume that some of the gross margin impact, it's just the timing issue like the pricing that will be coming through to the balance of the year, as you get into 2016 will kind of make up some of this incremental pressure you're seeing on commodities because of FX?
Ian M. Cook - Chairman, President & Chief Executive Officer: Could you repeat the second question, Lauren?
Lauren Rae Lieberman - Barclays Capital, Inc.: Yeah. Sorry. I realized as I was talking I was getting really unclear. So, the transactional impact on commodity costs, which I think is sort of what you were saying in Venezuela, is the timing of the pricing the issue? That it's not that you're not going to price to recover this incremental pressure, it's just we can't get it in fast enough to cover the impact this year, but as you go into next year, it starts to catch up?
Ian M. Cook - Chairman, President & Chief Executive Officer: Well, I mean, correct. We've always had this situation. I tried to say earlier in response to a question, in some cases, Russia would be a classic example where a crisis emerges. You take very aggressive pricing and accept the fallout on the volume just to stabilize the business. In other cases, you simply can't take pricing quickly enough, and intelligently manage the balance between volume price and therefore the top line growth in response to transaction, which hits you the minute you exchange slides. So, our pricing benefit from that will be progressive over the balance of the year, and you are correct, will continue into 2016. So, as we look at the balance of the year, yes, it is to do with the Global Growth and Efficiency program; and as I said, advertising will be broadly in line with last year. You may recall the last time we spoke from a ratio point of view, you may recall the last time we talked about it being up. So, heavily led by Global Growth and Efficiency, and I think you could say a moderation, again, we still think by our share and our top line delivery competitive for the moderation and the advertising over the back half.
Operator: And we'll now take Iain Simpson from SocGen. Go ahead.
Iain E. Simpson - Société Générale SA (Broker): Thank you very much. We've seen increased commodity, volatility and also increased currency volatility of late. And you've sort of talked about how your attitudes took pricing and trade spend change in response to that. Have you seen anything unusual from any of your global competitors and how they prioritize the balance of their spending? Is the landscape moving more towards trade spend or advertising? Or if you could just give us some color on the dynamics there? Thank you very much.
Ian M. Cook - Chairman, President & Chief Executive Officer: Yeah. Well, first of all, it's a great name. But in response to the question, as we answered the previous question, I would say from a global point of view, no, you know, no substantial difference. I mean, if you go country-by-country around the world, you see different approaches from different competitors that you have to react to, but no overarching strategy that sees a significant change, no.
Operator: And that was our final question. I would like to turn the conference back to the speakers for any additional or closing remarks.
Ian M. Cook - Chairman, President & Chief Executive Officer: No. Thank you very much, Jessica. Thank you all who joined the call and your interest in the company, and as we always say at this time, thank you especially to the Colgate people who make it all happen. Bye-bye.
Operator: This does conclude today's conference. Thank you for your participation.